Company: Roberto Simoes – Chief Executive Officer Rosana Avolio – Investor Relations Director Pedro Freitas – Chief Financial Officer Bruno Montanari – Morgan Stanley Unidentified Analyst – Analyst Anne Milne – Bank of America
Operator: Good morning. Thank you for waiting. Welcome to the conference call of Braskem, to discuss the results related to the Fourth Quarter of 2021. Here with us are Mr. Roberto Simoes, CEO of Braskem, Pedro Freitas, and Rosana Avolio, Investor Relations Director. We'd like to inform that this event is being recorded and that all participants will be in listen-only mode during the conference call. Later on, we will start the Q&A session when further instructions will then be provided. [Operator Instructions] This event is also being broadcast simultaneously over the Internet via webcast and can be accessed at https://www.braskem.com/ri where you can also find the presentation. The selection of the slides will be controlled by you. The audio of this event will be available soon after it's over. We'd like to remind you that the participants of the webcast may record via website questions to Braskem. They will be answered after the conference is over by the IR area of the company. Before moving on, we'd like to clarify that any forward-looking statements that may be made during the conference call as regards the business perspectives of the company, projections, operational, and financial goals are beliefs and premises of the company's management, as well as information currently available to Braskem. Forward-looking statements are no guarantee of performance since they involve risks, uncertainties, and premises. Same-state refer to future events. And these depend on circumstances that may or may not occur. Investors and analysts should understand that, general conditions, sector conditions, and other operating factors may have affect to the future performance of Braskem and may lead to results that differ materially from those expressed in such forward-looking statements. I would now like to turn the call over to [Indiscernible], Investor Relations Director, who will begin the presentation. You may proceed, ma'am.
Rosana Avolio: [Interpreted] Good afternoon, ladies and gentlemen. Thank you for participating in Braskem's conference call to present our results for the fourth quarter of 2021 and also for the full year of 2021. Let's go to Slide 3 with Braskem's highlights in the year. In 2021, Braskem delivered important achievements in its financial situation and ESG agenda. Starting with the financial highlights, we reported record high recurring operating result of $5.6 billion and net cash generation of R$10.7 billion. We also returned value for our shareholders delivering the third highest total shareholder return of companies in IBOVESPA and S&P 500 and distributed anticipated dividends in the amount of R$6 billion. Another important development was being upgraded to investment-grade by S&P and Fitch. We continue to maintain a comfortable leverage ratio and the debt maturity profile concentrated in the long term. Another financial highlight was the conclusion of Braskem Idesa's debt refinancing plan which was one of our priorities for the year. On our ESG agenda, a strategic priority for us. We made important advances on all three fronts, environment, social, and governance. On the environmental front, we advanced in our goal of reaching 1 million tons of Green PE production capacity, with the progress achieved on the capacity expansion projects at the green ethylene plant in Triunfo. And with the signing of a memorandum of understanding with SCG Chemicals to perform feasibility studies, to jointly invest in a new green ethylene plant in Thailand. We also signed an MOU with Lummus technology for the joint licensee of green ethylene technology, and on our commitments to circular economy. We started the operation of the mechanical recycling line in partnership with Valoren. On the social front, we implemented a 146 social projects that benefited over 800,000 people globally, and made further progress in our financial compensation and support for relocation program in Alagoas. On safety, which to us is a non-negotiable value, we achieved the best performance in people safety since 2017, and the best. historical process safety results. Lastly, I would also like to highlight our advances in governance, such as, for example, requests from shareholders to carry out studies on the company's migration to the Novo Mercado segment of B3, formation of statutory Compliance & Audit Committee, and achievement of ISO 37001 certification. Moving on to Slide 4, we're going to comment on the consolidated results in the quarter and the year, for the year. In the fourth quarter of 2021, consolidated recurring operating result was around $1.1 billion. 23% lower than that in the third quarter of the year. This result explained mainly by the lower international spreads for main chemicals. The PE and PP in Brazil, PP in the U.S. and Europe. And for PE in Mexico. But which still remain above the historical average of the last 10 years. And also due to the lower PP sales volume in Brazil, the United States, and Europe. Into year our recurring operating result was $5.6 billion, an all-time high. Mainly due to better international spreads for the main chemicals and resins in Brazil and for the PP in the U.S. and Europe and on the next slide, we'll make comment on the net profit of the company. In 2021 Braskem reported net profit of around R$14 billion. An important reverse in relation to the accumulated losses of R$4.5 billion in 2020. Thus as I mentioned in the beginning of my presentation, in December 2021, the company distributed anticipated dividends based on the results for the year of 2021 in the amount of R$6 billion. Let's move on to the next slide. We will start about highlights per segment. On Slide 6, we present the main highlights of Brazilians operations in the fourth quarter of 2021. The petrochemical crackers in Brazil operated at a utilization rate of 85%, six percentage points higher than that in the third quarter, which is explained mainly by the higher Feedstock supply in Rio de Janeiro and the stronger demand of PE in the Brazilian market. In the Brazilian market, resin sales in the fourth quarter were practically stable in relation to the third quarter, 2021, while exports increased by 13%, reflecting the higher product availability. In this context, the recurring operating results of Brazil in the fourth quarter of 2021 was $761 million in the year and the operating -- recovering operating result was $3.6 billion. Next slide, we'll comment the geological event in Alagoas. The chart on the left shows the balances of the provisioning related to the geological event in Alagoas at the end of the fourth quarter of 2021 of around R$7.7 billion. The chart on the right shows the disbursement schedule of the total amount provisioned. Around 57% was recorded under current liabilities and 43% of this amount was under non-current liabilities. It's important to remember that Braskem cannot predict with certainty future developments in respect to this matter or its related expenses and the costs to be incurred by the company may be different than the currently estimated or provisioned. Moving onto the next slide, we will continue to talk about the Alagoas geological event. Braskem continues to make progress on it's location and financial compensation of the families in high risk districts of Maceio until the end of February 2020. The number of reallocated was 14,049, about 9% to 7% of the real estate reallocated in risky areas. Additionally, the number of proposals for financial compensation that were submitted reached 13,123. We had the maintenance of high acceptance index of the proposals that were submitted reaching 99.5%. In relation to the payments made under the program, about R$2.2 billion have been disbursed up to the end of February 20. And this value considers the values that were this first since the beginning of the program. Additionally, I would like to share some highlights made throughout 2021 regarding the other work fronts. Compliance with the well closure plan: 48% advanced in filling the first two cavities with sand, conclusion of the environmental diagnosis of the area and significant progress in the social diagnosis. Start of demolition works on Mutange Hill and urban mobility plan for the region completed and start of the actions scheduled for the next quarter. Now, let's turn to Slide 9. This slide presents the highlights of our operations in the United States and Europe. In the fourth quarter, the PP plants in the United States operated at utilization rate of 73%, decreasing 21 percentage points compared to the third quarter, which is explained by the scheduled maintenance shutdown at one of the regions plant in the period and by the slowdown in the production to accompany the weaker demand in the region. In Europe, the utilization rate decreased 8 percentage points from the third quarter, reflecting the lower fixed stock availability due to the scheduled maintenance shutdown at the Propylene supplier in the period. Moving on to sales performance. The United States registered sales volume in the quarter of 442,000 tons, down 2% on the prior quarter. In Europe, we sowed 137,000 tons of PP in the quarter. The segment's recurring operating result in the fourth quarter was $281 million. In the year the recurring operating result was R$1.6 billion. Moving on, the next slide shows the highlights in Mexico. Mexico operated at a utilization rate of 81%, increasing 13 percentage points on the third quarter. And this is explained mainly by the higher feedstock supply by both Pemex and the Fast Track solution. Sales in the quarter increased by 20% year-over-year, explained by the higher availability of product for sale, given the higher capacity utilization rates for the quarter, this segment's recurring operating results in the fourth quarter was a $160 million and in the year the recurring operating result was $620 million. Moving on, the next slide details the fixed stocks supply dynamics of Braskem Idesa. And the fourth quarter 2021 Braskem Idesa imported 22.9 thousand barrels of Ethane per day. A quarterly record for the Fast Track solution, which represents around 84% of those solutions current capacity. Pamex also supply 30.6 thousand barrels of Ethane per day, which is in line with a new amendments signed in October 2021. Looking at the outlook for 2022, we believe that Braskem Idesa has the potential to continue delivering the good industrial performance observed in the fourth quarter of last year. Since the company is working to further expand the Fast Track solution to reach maximum ethane import capacity of 35,000 barrels a day. As well as the expectation that Pemex will continue to supply feedstock volumes in line with the amendment. The next slide covers the ethane import terminal. In December, Braskem Idesa had the approval of the final investment decision for the ethane import terminal, with investment in the terminal construction estimated at around $400 million. The next steps are the expectation that the start of the constructions are likely to begin in the second quarter 2022. And additionally, we're going to continue working on the process of selecting potential partners so that the terminal starts operation in 2024. Moving on. The next slide shows our consolidated cash flow. In the quarter, Braskem recorded positive operating cash generation of around R$3.1 billion. The main positive impacts were the recurring operating result and the monetization of the PIS and COFINS tax credits in the quarter. In the year, Braskem set a new record for the operating cash generation of R$10.7 billion. Next slide shows our capital allocation strategy. In 2021, Braskem maintained its commitment to efficient capital allocation by focusing on creating value and return for shareholders with the majority of our capital allocated to [Indiscernible] that's a reduction dividend distributions, and investments. In relation to indebtedness for the year, Braskem reduced it's gross debt by $1.8 billion by carrying out of various operations in debt markets. On remuneration of shareholders, we distributed anticipated dividends for the fiscal year of 2021 in the total amount of R$6 billion. On the investment front, we focused investments in the maintenance of existing assets, such as scheduled general maintenance shutdown at the petrochemical complex in ABC in Sao Paolo, and on growth projects in biopolymers and recycled resins, which included the capacity expansion project of green ethylene production, and the Triunfo plant and the new mechanical recycling line in Indaiatuba, Sao Paulo, respectively. Let's move on to the next slide, please. On the slide, you can see that in 2021, Braskem presented return metrics above those of its international peers and the average of IBOVESPA and S&P 500. On shareholders return, Braskem delivered TSR significantly above its international peers with the third highest TSR of all companies in IBOVESPA index and the companies listed in the S&P 500. In terms of free cash flow yield, Braskem delivered a record high free cash flow of R$10.7 billion resulting in a free cash flow yield above that of its international peers. In returning capital to shareholders, Braskem distributed record high dividends in 2021 of R$6 billion resulting in dividend yield above that of its international peers. Moving on to next slide, please. As of the end of 2021, Braskem continued to maintain a very long debt maturity profile with strong liquidity position with maturities mostly concentrated in the long term. Important to mention that in December last year, the company hired with a syndicate of 11 global banks and international stand-by credit facility in the amount of $1 billion with final maturity in December 2026 to replace the current facility. The average debt term remained around 15 years, and the current liquidity position is sufficient to cover the payment of all liabilities coming due over the next 72 months. Let's turn to the Slide 17, which shows the company credits, metrics, Braskem, continued presenting solid credit metrics, and low corporate leverage ratio, even after distributing anticipated dividends of R $ 6 billion at the end of last year. The leverage ratio in dollars at the end of the year at 0.94 times. We'd like to mention that Braskem has the objective of maintaining a robust cash position as very long debt majority profile and we are committed to an efficient capital allocation. Moving on to next slide, please. At the end of last year, Braskem recaptured an investment grade after a rating upgrade by Fitch Ratings. In September 2021, S&P had already upgraded the risk level in global level of the company to BBB - with a stable outlook. With this to upgrades by Fitch and by S&P risk can is now considered an investment grade company, going on to Slide 19, we will have a look at ESG highlights. Let's start with the ESG section with our renewable businesses. On the chart -- on the left, we can see that last year, we sold a 165,000 tons of Green PE and 220,000 tons of ETBE gasoline by a additive that improves the performance and is partially made from ethanol. It's important to mention that we have assumed the importance of reaching one million tons of capacity of production of Green PE production by 2030, and we are working to accelerate the delivery of this goal through strategic and financial partnerships. On the chart to the right to we can see that the net revenue from Green PE and ETBE combined increased by 65% due to the higher availability of product for sale due to stabilization of the ETBE operation and also due to attractive prices in international market. Moving on to the next slide, please. This slide shows the project related to a circular economy in Brazil into which Braskem is contributing capital of a R$130 million. Braskem is investing R$20 million in the construction of an innovation hub jointly with clients, brand owners, designers, start ups and universities for the development of packaging better suited to recycling and circular processes. In addition, we have two projects in partnership with Valoren Technology Development and Waste Management Company specializing in transforming waste into recycled product. The first project is related to the construction of a Mexico recycling line to transform to a 150 million units of PE and PP post-consumer packaging into 14,000 tons of high-quality recycled resin. And its operation started in December 2021. In addition, we have a project for the technological development and construction of the first advanced recycling unit in Brazil which will integrate and capture synergies with the mechanical recycling line on the same site will use high pyrolysis process to chemically transform plastic waste that is difficult to be recycled mechanically into a certified circular raw material. These investments are aligned with Braskem's micro goal of eliminating plastic waste which includes projects to develop circular packaging, mechanical recycling, and advanced recycling. Let's go to the next slide, please. In relation to renewable energy, Braskem entered into a purchase agreement for steam produced from biomass with Veolia Brazil. Investments in the project is estimated at R$400 million considering the construction of an industrial and agroforestry park by Veolia and operational adjustments at Braskem's industrial units. The agreement will ensure the supply of steam to Braskem for 20 years, and is expected to start in 2024. Braskem estimates that the supply agreement will reduce its greenhouse gas emission by around 150 tons a year, which equivalent to 30% of its emissions in Alagoas with compared to 2020. We'd like to mention that this is another important project that will contribute for the company to reduce its CO2 emissions by 15% by 2030 and become carbon-neutral by 2050. Moving on to next slide, we will show our investments. Braskem closed last year with a CapEx of $691 million, which is 13% less than the estimate of $798 million for the year. Expenditures were affected mainly by the postponement of projects and the Brazilian real depreciation against the dollar in the period. For 2022, CapEx is estimated at $1.2 billion, which will be concentrated in the scheduled maintenance shutdowns at the Rio Grande do Sul plants, Preparation for this scheduled maintenance shutdown at Bahia plant in 2023, and catch-up of projects postponed due to COVID and strategic projects such as expanding the biopolymers business, expanding recycled resin production capacity, and the building of ethane import terminal with a potential partner in Mexico. Know that part of the CapEx for this year is related to Braskem's sustainable development macro objectives, in the amount of $236 million, around 75% of which is going to the macro goals of combating climate change and operating efficiency. Moving on, the next slide presents our short term outlook. For Brazil operation, the expectation is for the stability of ethylene production and sales volume regarding to spreads, the external consultancies expect a lower PE and after base spreads. PVC spread should remain at levels above the recent historical average. In the United States, sales volumes should increase due to the higher product availability, and U.S. PP propylene spreads should remain above their recent historical average. In relation to Mexico, we expect higher PE production and sales volumes with Pemex supplying feedstocks at volumes in line with the amendment signed in October and with increased ethane imports from the United States and PE, ethane price should remain above the recent average. On the next slide, we can see that Braskem remains an interesting investment opportunity in the global petrochemical industry. First, analyzing from the view of multiple of EC recurring operating results, the multiples of the company continues to be discounted in comparison to its international peers. Last year, Braskem delivered profitability and credit indicators above the average of its U.S peers, as in the case of the recurring operating margin and leverage ratio. Lastly, when we look at the strength price of B3 compared to the market consensus, it's also possible to see that there's a potential for price appreciation in Braskem stock. Moving on to Slide 25, we're talking about the improvement in the trade ability index of our company. The chart on the left shows how VRKM5 is improving its position in the B3 traceability index, which is calculated based on liquidity indicators such as trading volumes and number of trades. With it's improvement in the index, VRKM5 once again was included in the IVRX50, an index that tracks the performance of 50 stocks with the highest liquidity and weight on the B3. It's an interesting [Indiscernible] because with increase of the shares outstanding Braskem participated in the IVRX50 and in other relevant indexes such as MS IBOVESPA, corporate governance, among others, may increase. Next slide, we'll talk about the strategy. On the slide. I would like to reinforce that we remain focused on implementing our strategy based on renewables, recycling, and productivity improvement. Starting with our growth strategy. Today, we have three main growth avenues. The first is renewables, with a commitment to expand Green PE production capacity to 1 million tons by 2030. Recycling with ambition to reach to 1 million tons of thermoplastic resin, resins in chemicals with recycled content by 2030. And lastly, existing productivity and competitiveness project. Build the new ethane import terminal in Mexico to meet all the feedstock needs of Braskem Idesa and continue making progress on our global efficiency program transform for value to support in the implimentation of the growth initiatives. We have three innovation. We have an extensive innovation pipeline with several projects contributing to the growth of our business, people and culture. We have an experienced management team with technical teams with a strong entrepreneurial mindset. And we continue working on the migration to the [Indiscernible] PAD segment of B3, which includes the consolidation of our share classes. In terms of the financial solidity Braskem will remain firmly committed to its financial health and to efficient capital allocation. Lastly, we would like to reinforce that safety will always be the key focus of Braskem operation. Remaining of non-negotiable as permanent value of our strategy. That concludes the presentation of Braskem results for the fourth quarter 2021 and for the fiscal year of 2021, I would like to thank everyone for their attention. We will now begin the Q&A session.
Question-and-Answer:
Operator: Ladies and gentlemen, we're now going to start the Q&A session. [Operator Instructions]. The first question comes from Pedro Soares with BTG Pactual.
Pedro Soares: Good morning, Roberto. Good morning, Rosana, everyone, can you guys hear me well?
Pedro Freitas : [Interpreted] Yes, we can hear you.
Pedro Soares: Well, guys, I have two quick questions. First and most obvious about the spreads. After all, the volatility that we've seen, especially in the oil industry, naphtha stock prices have responded very aggressively to that, which really widened the spreads of the company in Brazil. I understand that much of that can be explained by the resin prices, which you're still not reflecting the potential passing on of that on to consumers. So I wonder if this -- I believe this is new compared to the last year. So if you could explain to us how that will work, especially on the consumer front. And when will that really affect the company's bottom line? Seeing as the company's current inventories are still below the spot once. Now, the second question is about the CapEx guidance. If you could give us a longer-term view after 2022. A while ago, we talked about a maintenance CapEx more than an operating CapEx of about $600 million, and correct me if I'm wrong on that, but it was also underscored that there's not an extraordinary pipeline, especially for the next few years. So my question is, of course, this increase in the operating CapEx in 2022 largely reflects some of the delays in investments, but does it make sense for us to imagine this operating CapEx moving back to levels closer to $600 million or do you guys understand now that it should be something more structural for the moment? That's it for now. Thank you.
Pedro Freitas : [Interpreted] Well, Pedro, thank you for your questions. I'd like to say it's a pleasure to be here speaking to all of you. Thank you for being here. We've had extraordinary results in 2021 and we are happy about that. Now on the issue of spreads, there may be two or three points that I'd like to clarify. On a more macro perspective considering last year, this year, and moving forward onto next year, considering a structural supply demand structure within the industry, at this point we see no changes from what we already had seen since the beginning of last year which was we expected spreads to come back to normal, still staying above the historical average. But yes, moving back from what we had in 2021 because of a series of non-recurring events we had in 2021 which led to a decrease in the supply in the international market. We had climate events, we had new bouts of COVID which affected freight prices which also helped lead to that increase in spreads above what we would call a regular level. And this return to normal, this decrease we started seeing at the end of last year was widely expected not only by us but by the industry at large in 2022. And now, as of 2023, we expect to see some recovery already because of the investments that we expected for 2024, 2025, which had not -- have not been announced yet. Either because of COVID or a number of commitments that companies have taken on in terms of carbon reduction or carbon neutrality. And all of that raise the barrier for new investments because you have to invest more in order to fulfill those pledges. So about spreads and this longer term curve, we do not see a return, but in the near-term both because of the war and how much it has impacted fuel -- oil prices spreads are likely to widen. Last week, we saw the spike and spreads are not adjusting yet. This week we saw naphtha coming down and oil prices coming up. So we still expect to see some increased volatility in the near-term, but in the longer run,
Pedro Soares: this is something about Russia and Ukraine, with both countries that have a small share of the international market. It doesn't seem as efficient to change the entire landscape we had been expecting. Now, about the passing along of prices, the logic is still the same. We want to pass along international prices. We have a structure for that in terms of resins, and the most basic terms, we want to follow the same international logic. Our policy -- our pricing policy is still the same, and we continue to pass those changes along according as international prices change. Now, one early sign -- it's still early, but everyone knows that China is now experiencing a new round of lockdowns. So we are seeing a rise in freight prices of products coming from China. So that could make things a bit more complicated for them, as was the case last year. But it's still difficult to say to what extent and for how long that will persist. That's hard to say now. And ultimately, you raised the point of how Braskem's results are structured.
Pedro Freitas : [Interpreted] Braskem's CPV is calculated using a moving average. So the cost recapturing now in March is the average of Naphtha prices and Feedstock prices from the last few months. So as prices go up, our inventory price levels go down. So part of our operating management policy is to understand that logic and based on that, we adjust our production levels to provide for this carryover of our inventory -- carryover effect on our inventory. This is something we do really well with a positive impact on our bottom line lowering the cost of our inventories on our sales. I may have spoken more than I should, but annually we don't see a significant change because of the current landscape. But considering the uncertainty and volatility, especially in the near-term. And also considering our inventory and production management and procurement management is being revised very short intervals to allow for those market shifts. Now, going back to CapEx. I'd only like to mention something because you mentioned a $600 million operating CapEx. And we would like to shed more light on that. Our operating CapEx includes the maintenance CapEx, but it also includes innovation and technology CapEx. It includes our competitiveness in productivity CapEx. And in previous calls, whenever I say that our maintenance CapEx is between $500 million and $600 million, I'm thinking only of maintenance. So to reconcile those figures, you need to think, oh, I have $600 million in recurring operating CapEx, plus an innovation technology CapEx plus a competitiveness and innovation CapEx. So that requires thinking of those projects which need a positive EPL. So the innovation plus continuity competitiveness, that's around $100 million, $150 million this year, which is why our operating CapEx looks higher. And it is also higher because in the last two years, 2020 and 2021, we invested less in maintenance because of the pandemic.
Pedro Soares: We carried forward with everything that was mandatory or that implied higher risks, but there's a lot of things that you could postpone. So if you have a car, you can leave maintenance in your car for later, if you want, unless there's a problem, but over time, those are things you have to do. So these are things we've postponed. And when we look at the program -- the CapEx we've programmed for 2022, we see that within the operating CapEx logic, we are running higher numbers, but you must understand that within those 193, you have 600 which are about maintenance plus 150 which is for this year with competitiveness, innovation, and continuity, and there's another 20% to 2040, which is about catching up with what we failed to do in maintenance over the last few years and maybe even an additional or an extra in competitiveness. That's where the figures come from, but our baseline $600 million in maintenance remained unchanged. Now, I just wanted to add something to Peter's point, there's some volatility in the baseline, naphtha-based CapEx, but I only wanted to stress all the work that we've done in diversifying our raw material base.
Pedro Freitas : We have an important base in Mexico and even the business has a dynamic nature. In the United States, we remain with the same baseline. So I wanted -- only wanted to stress that. And the second point I wanted to make is that as oil prices go up we see that basic petrochemicals are also going up which also help us here in Brazil. So raw material sales plus everything else that Pedro commented play into your point.
Pedro Soares: Yeah, that was very clear guys. Thank you for your answers.
Operator: Our next question comes from Gabriel Bahas from Citibank.
Gabriel Barra : [Interpreted] Hello, Pedro, Rosana. Thank you for taking my question. I wanted to go over two points. First of all, the dividend issue. You announced an additional sharing of the dividends and looking at the company's cash-generation, I expected a higher number of extra dividend sharing this year. I wanted to hear from you first what was the rationale behind this figure? And considering the war scenario and how it affects that your chemicals and maybe uncertainty may have weighed on this figure. And from your perspective, what would be a higher leverage ratio for next year? What would be the potential in that sense? And the second point looking to the Alagoas issue, there was an increase in your prospect as you mentioned and I wanted to go over three points if we could quickly go over them. First of all, your cash spread from what has already been provisioned in your opinion, what should we expect for 2022 and 2023 in that sense? And the second, how many of those points are still open and is there any question about what you still have to provision for or how much cash you need for the next few years and then I wanted to hear from the cavities you mentioned 35 cavities, 23 or 35 wells and 23 are still being analyzed. And if you could give us a figure by well, just so that we have a sense of the potential risk on the Alagoas front. That's it. Thank you.
Pedro Freitas: [Interpreted] Good morning, Gabriel. Thank you for your questions about our dividends. Braskem was a part of the Petrobras sales round roadshow last year and one of the feedbacks we had was that some of the feedback we had was that it would be interesting to at some point have a repurchase program for the company. And because that program also requires some cash set aside for that program, the route would shows would be to what's to provide a slightly lower figure. The low, the highest number, which is about R$2 million. But we decided to suggest a slightly lower figure just so that we have that option to in the future look into a repurchase program considering what we believe is the potential share sales potential for the company. So that's the rationale. And even looking at the ideal leverage ratio, we continue to consider a baseline of about 2.5. The current proposition will not take us to that level of 2.5 in 2022. So there'd be room for something extra, but as the year goes by, we will see how it will be if we could go along with the same plan. But we don't dismiss the idea of maybe along the year have another moment where we will share additional dividends. So I'd say that from the more conceptual standpoint, we have that leverage ratio of 2.5 at best, the highest point. And then in the roadshow with investors, we had this feedback that we should keep dividend payments regular considering that the company's cash generation is very healthy. So it allows for a large CapEx and to provide a return for investors via dividends and then allowing some room for a repurchase program, depending on how our next month within the company unfold. Now, with regard to our program in Alagoas, the overall provision, if we calculate everything that was done in the past, it would be about R$12 million. We are already spending R$4.6 billion. so the 7.7 billion If you add that to the 4.6 billion that comes that takes you to the $12 billion that we've invested overall. Now, about the 7.700, how that will be spent, well four is in our are circulating -- is from last year and the rest is from 2022 and onwards. And I'd say that most of that would be spent this year, perhaps then 1/3, and 1/3, and then another 1/3. And about the uncertainty, even considering how we've looked at our provisioning, our allocation is doing really well. We've stayed within the parameters of what's been provisioned so far. So at this point, we see no significant risk of that changed. Now, with monitoring and closing the wells there was a change in the last quarter, but that was because of a progress in the geo-mechanical modeling. That shows future scenarios where the area is stabilizing. So we already had a robust program to close those wells and we made that even more robust for potential future scenarios for the area's geology. So I'd say it's a very safe program right now. As for the social and urban programs we've had, the figure remains the same and now we had a positive sign, a green light from the city to continue. We have not signed any -- a deal yet but we'll now start to put our measures in place or to take the steps that we need and with that, we also make progress in remediating the situation. But also considering the discussions that we're having, there may be some change but not a very significant one. And lastly, considering the other steps that we've taken, our environmental assessment has moved forward and that includes environmental measures that were included in our provisions as well. So I'd say that today, the main points of uncertainty have been widely mitigated. We can say this is a done deal and the figures won't change but we see risks as a lot lower. And it was based on the agreement we've had in August 2020. And now, especially since the end of last year, I think we have a very solid figure that we provisioned within what we can see at this point, I just wanted to add something about the disbursement that Peter mentioned as we've included in the presentation $4.4 million, we have an exclusive plan below $1 million, and I think that should be considered. And lastly, I think the takeaway messages, if you look at last year's trend, our focus was a lot more in delivering and taking concrete steps. We didn't have any material change in the provisions we had, which only goes to stress the point that Peter just made, which is as we signed those deals, uncertainty has really diminished.
Gabriel Barra : [Interpreted] Extremely clear, guys. Thank you. There's just one more thing. How much would it cost for each well to be closed? Would you guys have an estimate about that?
Pedro Freitas : [Interpreted] Well, Gabriel, that would depend on each well, because you have different dimensions. So we do not have an average per well. What we have, as you said, was wells that are being monitored, and we have sonar devices that measure the internal cavity. So four wells, and we have nine within the program to be filled with sand. We have the volume metrics and we have that -- those figures that we have here in the presentation. Now, for those that are not being monitored yet, we do not have those figures. We could maybe look into that and maybe bring you something, but we don't really. We have that figure here with us right now because within what we must do, there are wells that we do not need to close. And some of them are being closed with a different technique where you're not filling them with sand and it's actually the more common I think that's better to close them with a lid only.
Gabriel Barra : [Interpreted] That was great. Thank you.
Operator: Our next question comes from Luiz Carvalho with UBS.
Q – Luiz Carvalho: [Interpreted] Thank you, Pedro, Rosana, for taking my questions. If you guys go back a little bit and talk about the spread discussion and the CapEx and dividends, and even within the disbursement with the Alagoas program, if we look at 2022, I don't know if the amount spent in Alagoas will be made this year. Your CapEx has increased considerably over the last year. And on the other hand, I'm looking here at Slide 23, seeing the level of spreads above the levels of 2016, 2020. So I believe that will have an impact in cash generation. So I just wanted to try to reconcile all of these factors and how -- to understand how exactly that could impact your dividend payments this year. So if we could maybe round out all of those numbers and tell us how you see your cash generation right now and consequently, your dividend payments in 2022. Now, my second question which is perhaps a more important issue today has to do with the strategic/structural strategy of the company is going to the market including the potential for investment on the market, especially in Slide 24 that you have in the presentation where you, in a way, compare a few of the company's metrics with your North American peers and peers from other emerging markets. And you support your point even by forecasts from us here at the -- at sell side. How do you guys see this process? And I don't know if this is seen as a setback in your minds. The rejection by shareholders that had a share of your preferred shares, what can we expect in terms of timing and what have you heard from shareholders about a potential investment? Is there a -- any sort of strategy in that sense or do you guys see a shift in strategy for essentially not going to the stock market. Again, how do you guys see that move?
Pedro Freitas : [Interpreted] Thank you for your question, it's good to speak to you. Well, about your first question relating to our cash generation and so on and so forth. We have a consensual view for our EBITDA this year of about $3 billion. A few -- some see it as a bit higher, seems a bit lower, but I just wanted to remind you that we have Braskem Idesa in Mexico, which follows a different step, so to speak. So we can't -- we need to set them aside. So if we consider our R$15 billion for Brazil a year, the CapEx that we showed you, that is $1.6 billion includes Braskem, which is about $1 billion. So we consider here 1.34 excluding that. So even considering that we have interest and taxes, a historically we have $1.5 billion to $2.5 billion a year. So historically speaking, perhaps about $1.5 billion. But branding all those numbers, Braskem is a company that is already really bearing all of its costs on its own even without those investments. So it's a company that generates cash, even paying all its strategic investments in its portfolio. And with that, we do see some room even from a cash standpoint. And another figure that's important, it's our accounting figure. In the accounting space we see that we do have a positive net profit and a significant one at that. I have something to say about our net profit and Braskem, which is whenever the domestic currency loses value, our net debt is ultimately affected negatively. But whenever the currency gains value, we have a positive effect. So if the Brazilian Real continues to gain value, we may even see higher net profit through this year. And from the leverage ratio standpoint, we should mention our prospect for the end of the year, which is still below two, even considering a reduced EBITDA with dividend payments and all of that. So again, we see room to pay dividends. Obviously, we have some short-term volatility. We have to see how the year will develop, but as I said in the previous question, we may even have a repurchase program in the near future. So I think we do have some room and also the ambition to continue to give back and return capital to our investors.
LuizCarvalho: [Interpreted] I just have one more question about this figure, $3 billion for this year. With all respect to your consensus, we fear something closer to 2.8 or 2.9, maybe more closer to the reality. As your visibility improves, do you believe it's closer to three or 3.5.
Pedro Freitas : [Interpreted] Well, we're not allowed to give guidance, so I can't give you a precise answer as what you're asking, but even what you're offering 2.8 2.9, you will see a positive result. The important point here is that Braskem is generating positive cash. Regardless of everything that's happening, we still are creating positive cash. We have a good cash position, we have a good debt situation. So in the accounting space, that cash will turn into dividends overtime. I think that's the main takeaway message here. Now, moving on to your other question with our relationship to Novo Mercado. We're still working on what we have to work. I think the main aspect, we're in discussion now with shareholders or changes to our bylaws they also need to close the shareholders agreement amongst them that's something else there in discussion now. So we are still working with that guidance following the strategy that the two shareholders, Novonor and Petrobras communicated to us that they would sell they preferential shares and then other shares as well. So the strategy we're working with is still the same. There's obviously the market window. The operation in January was canceled because of the state of the market. And even though there was demand, the level of prices was not in line with expected. So the offering was slashed. But we are still working on going back to the market. But naturally, that would depend on the state of the market. According to those specific issues that you mentioned, that's true, there was no approval from shareholders in the company is looking at alternatives, but we do not believe this will become a roadblock that's impossible to circumvent. We already have alternatives to overcome that snag. And obviously, there's the timing with regard to the shareholders agreement and the bylaws, but we're still working with those numbers in the first half and with the idea of migrating to Novo Mercado.
Luiz Carvalho: [Interpreted] That's perfect. Okay. Thank you.
Operator: Our next question comes from Bruno Montanari with Morgan Stanley.
Bruno Montanari : [Interpreted] Good afternoon, guys. Thank you for taking my questions. I wanted to follow up on two questions. I know this is a small issue, but I wanted to talk about the P&D's. It's more of a curiosity. These are very negligible shares, so to speak. So what I'm curious about is, what do you believe led to them being rejected in Novo Mercado and considering those alternatives you mentioned, is there any forced conversion in your migration to Novo Mercado and how are you looking into improving governance for that? And my second question is about your prospects for profitability in Europe versus the United States, considering the spike in fuel prices in the area. And I also wanted to know whether you need to reduce your cash-generation because of the high costs -- the high energy costs in Europe. And another question about working capital, in 2020 and 2021, we saw just over R$10 million being accumulated in working capital. So should we expect a large sum of that coming back to the company in a more evident way this year, maybe even contributing to your firepower to fund slightly more robust dividend sharing? Thank you.
Pedro Freitas : [Interpreted] Thank you for your question. Well, about the P&Bs our reading here, or our understanding -- well, let me be more straightforward. The exchange deal was to have to change the two P&B shares to one P&A type share. And we believe that the P&B shareholders saw that it's something that didn't make sense for them. That's how we see that. And we follow what's in our bylaws. But ultimately they didn't approve that. The rationale was not made clear during the general assembly, there was only the vote on the ballots in the sense of not approving that, not approving the plan. Now, a forceful conversion I don't think is a possibility. I don't think the law would allow that. But we see alternatives that would actually allow us to migrate to Novo Mercado of our shares. So once again, this is something we can already see. And we have few devices that we could turn to make that possible. Now about our profitability in the U.S. and Europe and our capacity use in terms of costs; first of all, yes, granted as you said, our cost in Europe is now being impacted and we have a slightly longer-term prospect of more uncertainty but our position in Europe is not as material. We have just over 500 tons of polypropylene in Germany and our European sales amount to about 1.3 million, maybe slightly more in metric tons. So what comes from South America -- or from North America is even larger than the local production. And the rising fuel costs to enable our production in Europe would naturally lead to a rise in prices to offset those costs or otherwise, local producers will not produce. So what we see is if, well, on the one hand, prices really affect the domestic production and then we have to look at ours, we are operating in their specific markets. We're not as exposed to that but looking at Braskem at large, so it's not a very material impact. But there's more room for imports, perhaps even adjusting prices because of the reduced supply. Now, if prices go up, and other conditions remain the same, our imports and other areas, is it still remain with the sink costs? So this has to do with local costs in Europe. And because our local production with Braskem is very small, we may see even better results than we expected because of that. Now, in the United States, what we saw early this year is our spreads have remained unchanged even better than we expected. And sales are always doing, are also doing well. So are -- we have positive prospects in that sense. And we have competitive prices and also competitive energy prices. So obviously, the turmoil is always distressing. But considering we work with import parity, our profits are ultimately encouraging in the United States. Now, about working capital, first of all, it's important to understand why it has increased. And the main factor was the higher cost of oil prices. If we look at five years ago, we had the barrel of crude oil at $50. And now, for every ton of Naphtha, it's an increase of over 500. And if you think that our average inventory is 2, 3, 4, 5 months, you see that there was a large investment in our working capital. Another thing that we did was to adjust our policy for raw material purchases, especially for Brazil. And with that, we ultimately increase the share of imported Naphtha. Now, that includes two factors. First of all, the inventory in traffic is higher, so our inventory in ships that are moving to one place or another, that has increased. And another thing that has to be considered, is in the past, we used to buy that Naphtha with longer terms for delivery. We still have that possibility, but we've reduced our long-term Naphtha inventories. And that has a commercial impact, which because of our cash position, we decided to go for more spot purchases of Naphtha and with that, we ultimately spend more of our resources on that. Now, moving forward, that will have that policy is adjusted, will depend on prices, but we do not see movements either considering the commercial terms that we have right now, we've already changed, so our stock or inventory in transit won't change. Now -- so it's more about oil prices. If it goes up, our working capital may be impacted. If it doesn't, our working capital may even increase because our spending will decrease. But we're not seeing such a material impact that will prevent any of our other investments. We would need a really extreme scenario to say, well, yes, our cash position has been consumed in such a way that we can't make those investments anymore. But that's something we have to recalculate every year. That was very clear.
Rosana Avolio: In relation to 2021, Bruno, and its stock, if you go back to 2020, we had the second half of the year because demand was much higher than expected. So we closed 2021 with the stock at the lower level. So there was a record position of would be the average stock level of the company because of the high demand at the end of 2020. So we had an effect on the price, but also as a result of the re-composition of the stock.
Bruno Montanari : [Interpreted] Thank you, Pedro. Thank you, Rosana.
Operator: Our next question comes from Barbara [Indiscernible] JPMorgan.
Unidentified Analyst: [Interpreted] Good morning, Pedro, Rosana. Thank you very much for taking our questions. We have -- I have two questions. One in relation to the capital structure. It's clear that the purpose of the company is to maintain the leverage within the levels in order to maintain the proper rating. I would like you to clarify how you see the minimum cash, what would be the minimum level that would be comfortable for the company in the medium and long terms so that you can maintain this level in cash and some expectation in relation to liability management to this year and next year as well? My second question is in relation to the terminal of imports in Mexico. It's heard that there's an expectation to build in the second half according to the release. I would like to know how is the progress, how are the licenses going and the partners and how are you looking at the funding considering every producers to be onboard with you? Thank you.
Pedro Freitas : [Interpreted] Well, thank you, Barbara, for your question. Now, about our cash position and our debt position. We have a very clear goal. We want to sustain our investment-grade -- actually recover with Moody's, that's one of our targets for this year. And as you can see on slide 16 of our presentation, our cash position is $1.5 billion plus the revolving credit facility, which we renewed last year, that gives us a very wide liquidity cushion. Now, our operating cash is -- and what we need to operate is less than $800 million in cash position. That's essentially what we need to operate efficiently. If we consider some fiscal inefficiency, we can even improve that and we do not have any maturity for the next few months. The closest one is 2024. So we've been monitoring the market and we have a very conservative cash policy, which is to keep it at $1.5 billion. And we are -- in keeping with that our cash position is actually larger than that in the first few months of the year. But our stands -- our attitude, is to always monitor the markets. You manage a reliability, but if we're do that, we will go for that 2024 figure. There's no short-term prospect is more of the idea to access the market whenever there is liquidity or when Braskem has the ability to go into a transaction that will be positive for the company. But again, we are in no rush. We do not have that pressure currently, and our idea is to always keep our debt profile considering a longer debt maturity. And that's what we plan to continue to do. Now, about the Mexico issue, first of all, at the end of last year, the Board approved the investment itself, which would be $400 million in total and Braskem Idesa with all its financial capacity to have that investment fully independently, has been looking for a partner and which is why we now have the subsidiary Porto Chemico Mexico, which will be the company that will own the terminal. And we created the subsidiary precisely so that we had a space for a partner. We're now in the final stages to select the partner themselves. We have a few choices, a few partners to choose from that we're discussing with Braskem Idesa right now. But I'd say that that selection in our final decision is likely to take place within the next few months. And the ambition is to start construction in the second half of the year. We already have -- we're already very advanced in our plans and it's natural to start construction with pieces of that on a plan for construction -- for later construction. But the peer has to be started earlier, and meanwhile, you go into more details with other parts of construction. And we're seeing the Mexican government adopt a very positive stance in terms of supporting that investment. And this may be -- may well be the largest investment underway in Mexico right now, private investment, and we see the interest in Mexico's government to support that investment within a program by the Mexican government to to support their logistics between what they call the inner oceanic corridor, the structure that they have between Pacific and. Atlantic ocean. And this project falls within the realm of that program. So everything's working well. And our idea is to have a debt structure that's very strong. Within a project like this, you probably have 40%, 50% in debt. So an equity of 30%, 40%. So if you start running the numbers, $400 million CapEx, the equity itself, perhaps around $850. With a partner, Braskem Idesa will take on half or maybe even less that with the debt with a three-year CapEx with an outlay by Braskem Idesa of a $100 million. So if Braskem can support those 400, they can have those 80 with no problem at all.
Rosana Avolio: [Interpreted] This is because as this terminal, as allows for the importation capacity higher than what we have in the plans. There is a strategic plan to expand best can Idesa, to capture of the margins and everything. It's very competitive project that we have, in addition to the terminal and all the context that's but just quite by Pedro. We have in the agenda to have an expansion that we will have this nation for the cash generated.
Pedro Freitas : [Interpreted] I just wanted to reinforce another point. In December, Braskem Idesa paid it's nearly $400 million dividend and we expect Braskem Idesa to continue to pay -- Braskem to continue to return those investments over the next few years.
Unidentified Analyst: [Interpreted] Okay. It's very clear. Thank you.
Operator: Our next question will be an English and comes from Anne Milne Bank of America.
Anne Milne: [Interpreted] Good morning or good afternoon. Thank you very much for the call and congratulations on the results in '21 and the return to investment-grade. Several of my questions have been answered, but one, I just I have two. One is very small and it's just going back to your Algoas figures for 2021. I see that you have just one item which is this provision complement for R$1.34 billion. Is this a new addition to your provisions or is it one that was previously expected? I know you explained earlier that the total amount is estimated at about R$12 billion. I just wanted to see if this was something new and if you will have additional items will add in 2022 or in the future that you currently know about, not ones that you don't know about at the moment. That's the first question and the second question is just really an ESG related question. It's regarding your greenhouse gas emissions targets for 2030, which is a reduction of scope 1 and 2, and I know you have that in the same box you have your expansion of your Green PE production. So I guess I'm wondering on the Green PE production, will you use that to substitute for traditional PE Production? And that's how you -- that will be one of the mechanisms or the main mechanism for reducing our emissions, or will it be a series of other measures that I know you're looking at many projects right now that will lead to that 15% reduction. Thank you.
Pedro Freitas : [Interpreted] Hello, and thank you for your questions. It's great to hear from you. About Alagoas, the R$1.34 million that you mentioned, that has already been provisioned for, so it is within the R$7.7 billion that we have for December -- from December 2021. And in several lines of our provision, this was the largest which came from the well closing program. That was the highest sum, the highest amount, but there were adjustments in a number of lines of our provision and that happens every six months. And those more material changes that occurred late last year were because of how we advanced in modeling geomechanically the earth. And also we had adjustments in other amounts within the agreement. So there was an inflation-related adjustment and as we invest those sums, those adjustments will be smaller and smaller. So there's nothing new really. It's just about more clarity about the values in our provision. And as I mentioned in another answer, we are a lot more confident about those figures because of the progress we've had in our disbursements and how the case has evolved and also the solidity of the supplementary studies that we've received over the past few months. So obviously, as I said, this is not a done deal, a 100%, but we are seeing no item here that could lead to a material adjustment in our provision. And just to stress what you mentioned, yes, that is within those $7.7 billion. We have no other figure that has remained undisclosed that we expect to fall within our provision for Alagoas. Now, about your ESG question. First of all, our 15% decrease forecast to 1.2 greenhouse gases for 2030, does not include this advanced in green polyethylene. That's scope number three. So our target for 2030 does not include Green PE as an alternative or an action toward reducing the emissions. The actions or the steps we're taking are precisely in reducing our current emissions in the energy sources that we purchase from. We are seeking renewable sources, as we've done now over the past three or four years. We've been signing different energy purchase agreements with wind power contracts, and sun power contracts, such as what we had at the end of last year. So what we have as part of our 20-30 goals falls mostly within energy purchases and also reducing our internal emissions as well.
Anne Milne: [Interpreted] Very helpful. Thank you very much.
Operator: [Operator Instructions] We conclude now the Q&A session. We would like to turn the call over to the final considerations. You may proceed.
Roberto Simoes: Hello, this is Roberto Simoes, it's a pleasure to be here with all of you. I would like to thank everyone for joining our earnings call. This was a fantastic year for the company, and we're happy to share all of our accomplishments with you. We've had opportunities and challenges, but there was also -- there were also very important figures. Our recurrent issues -- recurrent results were very important and we took very important steps to consolidate our leadership position within this, which is now a very challenging scenario in our low carbon economy efforts. With that, I'd like to say that we're still committed to our capital allocation focusing on value generation for all our shareholders. And the allocation of our capital will be mostly first in reducing our gross capital and then in boosting our dividend sharing. We had the opportunity to talk a lot today not only about why we have the level of dividends we have right now, but also talking about our very positive prospects to continue to share dividends in 2022. And then the investments we had the opportunity to discuss more in-depth, our strategic investments and also those that are necessary to maintain Braskem's operations on the healthiest levels. Further, about the goals that were set for this year and which has been widely addressed and discussed, it's important to punctuate some of the very important steps or the headwind that we've made. As Pedro just said, we essentially reached 97% of the real estate or the properties that have to be relocated. About Mexico, we always say that this is a huge case study. The situation in Mexico used to be really complex. And I think we were able to reverse 360 degrees. It is now a solid company with a completely redesigned debt payment profile the ability to provide to Pemex, and with a very significant prospects for the new terminal that's underway. And the third point, our ESG commitments, which have been disclosed widely as well. and the new Green PE plant and also mechanical recycling plant in Sao Paulo and also the commitments we've made which -- many of which will materialize in 2022 in Brazil, but not only in Brazil. And despite the volatility we currently see in the international scenario, by virtue of the conflict in Ukraine, the focus is still the same in the company especially to provide dividends to the company and to focus on our ESG plans and recycling most importantly. We also took the R$1.35 million investment that we've already taken to the general assembly. So once again, I'd like to thank you for joining us and I hope to see you in a few weeks when we will be disclosing the earnings results from 20 -- for Q1 2022. Thank you.
Operator: Conference call at Braskem has come to an end. We would like to thank everybody for taking part in it. And I thank you very much for using Chorus Call.